Deb Wasser: Hi, everyone, and welcome to Etsy's First Quarter 2025 Earnings Conference Call. I'm Deb Wasser, VP of Investor Relations. And joining me today in Brooklyn are Josh Silverman, CEO, and Lanny Baker CFO. Today's prepared remarks have been pre-recorded including comments from our new President and Chief Growth Officer Kruti Patel Goyal. Once we are finished with the presentation, Josh and Lanny will take questions from our publishing sell side analysts on video. Please keep in mind that our remarks today include forward-looking statements related to our financial guidance, our business and our operating results as noted in the slide deck posted to our website for your reference, our actual results may differ materially. Forward-looking statements involve risks and uncertainties, some of which are described in today's earnings release and our most recent periodic report and which will be updated in future periodic reports that we file with the sec. Any forward-looking statements that we make on this call are based on our beliefs and assumptions today and we disclaim any obligation to update them. Also during the call, we'll present both GAAP and non-GAAP financial measures which are reconciled to GAAP financial measures in today's Earnings Press release or Slide deck posted on our IR website along with the replay of this call. With that, I'll turn it over to Josh.
Josh Silverman: Thanks Deb and good morning everyone. Thank you for joining us. As we're navigating our business through fairly unprecedented and incredibly dynamic times, I feel grateful to be part of the team here at Etsy where our marketplaces support entrepreneurial sellers whose products resonate with and are truly loved by consumers, offer differentiated and non-commoditized merchandise, feature remarkably responsive and diverse supply which has demonstrated powerful resiliency over multiple major global economic and supply chain shocks in recent years where best in class talent comes to work every day, drawn by our positive impact, helping to drive success for creative entrepreneurs and who are working with urgency to get us back to growth and where we have the security of an extremely strong financial foundation. Etsy has a strong track record of navigating turbulent macroeconomic conditions and we're confident in our ability to keep adapting. We're staying nimble and leaning into our strengths so we can provide a global haven for self-expression even in uncertain times. I also feel fortunate to have our new leadership team in place, including Rafe Colburn who rejoins the Etsy Marketplace as CTO after two years of helping Depop achieve tremendous success. We believe that we have a deep bench of seasoned pros who can lead with confidence. Moving to our first quarter 2025 results Etsy's performance was in line with the outlook we shared in February, and we came in a bit ahead on take rate and adjusted EBITDA. Lanny will explain the results in more detail a bit later. I'll spend most of my time today reviewing the progress we're making on our journey to reignite core Etsy marketplace growth, followed by Kruti, who will share early insights on how she's thinking about Etsy's go forward opportunities. Our teams are executing a balanced portfolio of product investments to drive in year GMS improvement and materially evolve the overall Etsy customer experience. We believe these efforts are beginning to fuel a stronger customer relationship flywheel, powered by new experiences that capture more and better data, which feeds advanced artificial intelligence and machine learning to deliver deeper personalization to drive buyer engagement and frequency over time. Stepping through the spokes of the flywheel. First, we're working to evolve our app services to be more browsable. Our new shop tab makes it easier than ever to browse and navigate more than a dozen categories, and to shop by key purchase occasions such as gifting and weddings even and especially if you arrive not knowing exactly what you're looking for. I'd encourage you to check out these experiences. Last year's gifting initiatives showed us just how much buyers respond to curation such as our gift ideas and lists, a learning that directly shaped current efforts to supercharge overall discovery on Etsy. On April 9th, we launched a new Discovery Centric Shopping experience which you may have seen featured at the recent Google Cloud Next conference. This experience leverages what we call algatorial curation, a powerful blend of AI driven scalability and the know how of our world class merchandising team. Etsy experts spot the latest trends and find high quality relevant items. Then our engineers use machine learning to scale the collection's listings. And finally, LLMs help align the aesthetic cohesiveness of the collection so that it includes a variety of products and meets our standards for quality listings benefiting from last year's quality efforts. Now millions of buyers can see beautiful scroll friendly collections tailored to trends, styles and occasions, showing the world of possibilities on Etsy. Recent AI advances enabled us to build an experience where the trends a shopper sees and the items that appear highest for them within each curated collection are based upon their individual activity, including purchased and viewed items. We're just getting started creating truly personalized browsing and discovery journeys and believe it will be genuinely game changing for Etsy. I'm excited to tell you about the real progress we're making on our mobile app. In the first quarter, buyer conversion rate on the app increased year-over-year and the app GMS significantly outperformed non-app GMS. In fact, the app reached an all-time high of 44.5% of total Etsy marketplace GMS. We saw an upward year-over-year trend in monthly active users and increases in app downloads for first time users. And the app's more browsable design means we're collecting more and better insights into customers, interests, inclinations, tastes and habits, all of which can be fed into Smarter, more powerful LLMs to generate even more engaging and personalized experiences over time. Second, alongside our browsable content, we've made significant improvements in how we get to know our customers. Previously we only looked at organic search data to power our search models. Now we're working to also incorporate ad and recommendation data. This is already giving us about a third more data so far this year compared to our previous siloed approach. This is leading to deeper insights, better model training and closer ML team collaboration. We're also improving our ability to recognize individual shoppers even if they haven't signed in. We're better connecting the dots between first and third party data to more accurately predict buyer LTV and tailor engagement and retention strategies for different segments. This will help us create an Etsy that will ultimately feel like your personal boutique every time you visit us. We're already seeing signs of success here. Our personalized homepages get nearly double the engagement of non personalized homepages and with the help of machine learning during the first quarter we increased the share of personalized email and push notifications by over 10 percentage points with AB tests confirming a clear lift in engagement compared to prior more generic content. We also conducted our first ever testing of GenAI created personalized marketing copy in Q1 and are optimistic that this can unlock significant gains in the quarters to come. We also had some other wins in the quarter to further fuel the flywheel. For example, we enabled Etsy experiences within third party AI based shopping platforms, including participating in the research preview of OpenAI's operator and enabling in App Purchase in Microsoft Copilot. We believe that being selected as early research partners for both of these top Agent AI products is indicative of our unique and compelling offering, which is quite exciting as they potentially become more prevalent in helping people to shop. We're encouraged by the trends we're seeing in terms of increased user engagement, outperforming GMS on the app, and stronger contributions from owned marketing channels such as push notifications and other more personalized strategies, as well as in paid social. Much of the progress we're making is just the tip of the iceberg of what we're creating in terms of new customer experiences, and we expect these to stack over time and support future growth. I want to take a few moments, particularly with global tariff regulation still in flux, to revisit what makes Etsy unique and special. First sellers in our marketplace include over 5 million creative micro entrepreneurs from around the world. Most are solo entrepreneurs working from their home with 90% sourcing their supplies domestically. Second, the diversity of listings on Etsy is massive, with more than 100 million items touching well over 100 retail subcategories. And historically we've seen high replacement rates if one item isn't available, something similar very likely is, meaning that if there are bottlenecks in one part of the world, we have sellers elsewhere who can fill the gaps. For example, right now there are more than 60 million items available to ship from U.S. sellers alone, with thousands of sellers in every state. And third, our business model has been especially resilient in times like these. We don't manufacture, hold or price inventory and sellers pricing on Etsy has been relatively stable over time, even during times of major price volatility elsewhere. Our model has proven its strength both operationally and financially time and time again. To specifically address the shifting tariff landscape, we established a small operational task force focused on creative solutions for our community so that the remainder of our team can keep their eye on the prize working to get Etsy's GMS growing again. This slide highlights how recent actions we've taken, including easier local search and filtering for buyers, and ongoing education and policy support for sellers. We are of course monitoring the ricochet impact of higher global tariffs on consumer spending in our core markets, particularly with regard to the cost of items people purchase every day and how this may impact demand for consumer discretionary items. Onto our subsidiaries. Starting with Depop. With Kruti transitioned into her role as Etsy's President and Chief Growth Officer, Depop's Chief Marketing Officer Peter Semple is stepping in as interim CEO. A thoughtful and strategic leader, Peter is the right person to guide the business while we continue our Depop CEO search. Depop once again delivered very strong top line growth with its best GMS quarterly performance since we acquired the business in 2021 and setting a record for seller acquisition. The U.S. was again a key driver where Depop remains the fastest growing online resale apparel platform. As you saw from our recent announcement, we've made the decision to divest Reverb from our portfolio. During the last five plus years, Reverb's done a fantastic job cementing the brand as the online destination for secondhand musical gear. We're excited for them to embark on this next chapter with great new partners who are deeply ingrained in the musical instruments sector. This transaction will enable us to further focus on driving growth for Etsy and Depop. In closing, Etsy's mission to keep commerce human has never been more relevant. The work we do matters and has impact on millions of creative entrepreneurs around the world. We are laser focused on making Etsy the starting point for special. With that, I'll turn it over to Kruti.
Kruti Patel Goyal: Thank you Josh. I'm really excited to be back at Etsy and to have the chance to speak with you all today. I've been fortunate to have been part of Etsy's growth and evolution over the last 14 years, wearing many hats across the company during that time, from leading trust and safety to heading our seller business to serving as Chief Product Officer and most recently as CEO of Depop. At Depop, we've built an app first experience with more than 90% of our sales happening in app that serves our customers from inspiration to purchase. To do this, we've prioritized investing in a recommendation engine that reflects our deep understanding of our buyers tastes and preferences, helping them better discover and explore their individual style. And for sellers, we focused on making it simpler and more efficient for them to list and sell, powered by our machine learning capabilities. Collectively, this work has led to a more engaging, more effective experience on both sides of the marketplace, deepening our connection with our community, powering Depop's growth and the circular fashion economy. The success of this work is clear in the increases you see here in our active users, their engagement with our app, and ultimately in our GMS growth. My time at Depop has only deepened my appreciation for what makes a marketplace so special. It's dynamic, adaptable and can empower real people while delivering real economic opportunity. And as Josh mentioned, a marketplace like Etsy is also uniquely suited for a world where customer behavior is shifting faster than ever. Over the past few months, I've immersed myself in the business and reconnected with our teams, quickly getting up to speed on our investments, strategy and operations. And looking ahead to the remainder of 2025 and beyond, I believe our biggest opportunities will come from our ability to give shoppers more compelling reasons to choose Etsy over competitors rooted in our differentiation and to build a more personalized, more delightful shopping experience that strengthens our relationship with our buyers and deepens our partnership with our sellers. Because we all know when they win, we win. We know there's meaningful work ahead of us to realize this potential and reignite growth, and I'm excited to bring a fresh perspective as we build on the magic that makes Etsy so special. With that, I'll hand it over to Lanny to cover the financial results.
Lanny Baker: Thanks, Kruti. It's a pleasure to connect with you all today. While the first quarter was challenging, GMS was consistent with our expectations and we delivered a small beat on take rate and adjusted EBITDA margin. After the end of the quarter, we announced the sale of Reverb, our musical instruments marketplace for $105 million in an all cash transaction that values the business at a mid-teens multiple of trailing 12-month adjusted EBITDA. We took a non-cash impairment charge of $102 million associated with that anticipated transaction, which is reflected in first quarter 2025 net loss. First quarter 2025 consolidated GMS was $2.8 billion down approximately 6.5% year-over-year with FX representing an 80 basis point headwind versus prior year. Etsy marketplace GMS was down 8.9% and down 8.1% on a currency neutral basis. Meanwhile, Depop continued to deliver very healthy growth in buyers, sellers and GMS which benefited consolidated Q1 results and Reverb's year-to-year GMS performance was similar to that of the core Etsy Marketplace during the first quarter. Despite the GMS decline, first quarter consolidated revenue increased by approximately 1% year-over-year to $651 million. Breaking that down, Marketplace revenue decreased 1.8% year-over-year reflecting the decline in GMS, partially offset by increases in payments revenue at Etsy and Depop as well as seller setup fees, which we raised to $29 for new sellers in the U.S. Services revenue grew 7.7% year-over-year with strong growth in on site ads revenue at both Etsy and Depop. Adjusted EBITDA was $171 million for the first quarter representing a 26.3% margin, up 30 basis points year-over-year and ahead of our guidance. The primary factor behind that expansion in adjusted EBITDA margin was leverage in G&A where we saw a reduction in bad debt, non-income tax expense and other costs in the quarter. This was partially offset by modest deleverage in cost of revenue due to slightly higher cloud costs related to ML and search development, as well as the cost of free shipping associated with our Shopper Loyalty Beta program. Etsy continues to realize a healthy take rate reflecting the significant value we deliver to participants in our marketplaces. Consolidated Q1 2025 take rate improved to 23.3% with the increments shown here producing take rate expansion beyond our guidance of approximately, 23% and an increase of 170 basis points over the 21.6% take rate reported in the same period last year. Consolidated product development spending was up slightly year-over-year to $111 million and remained flat as a percentage of revenue. We've increased our product development headcount modestly from a year ago, with consolidated revenue per head continuing to expand on a trailing 12-month basis. First quarter consolidated marketing spend decreased 1% year-over-year to $189 million. We reduced brand spend coming off last year's debut of the Etsy Marketplace's new gifting experiences, and we increased performance marketing spend year-to-year with a growing emphasis on social media channels. Our ROIs in paid social are not as high today as what we achieve in Search and PLA. However, we're making steady gains in efficiency and Etsy Marketplace GMS from paid social increased meaningfully in the quarter. This progress enables us to underwrite greater social investment for Etsy, where we are optimistic about fueling the buyer engagement flywheel via social as Josh described earlier. Turning to Etsy Marketplace, GMS performance and Active Buyer metrics, we anticipated a challenging first quarter as we worked through the impact of last year's shift in resources and strategy coupled with ongoing external pressure on consumer discretionary spending. As a result, the Etsy Marketplace's year-over-year GMS performance in Q1 was similar to that of the fourth quarter. U.S. buyer GMS represented about 75% of first quarter Etsy marketplace GMS, with both U.S. buyer GMS and non-U.S. buyer GMS performing similarly to Q4 of last year when removing the FX impact from the latter figure. While GMS in each of our top six categories declined year-over-year, based on data from Consumer Edge, we believe we performed in line with or slightly better than our Pure Play peers in four of those categories. We also benefited from Etsy's strengthened positioning as a great place to shop for gifts with gifting GMS outperforming non-gifting GMS in the quarter. Product and marketing efforts to enhance Etsy's gifting experience provided a tailwind during the Valentine's Day shopping period and Mother's Day in the U.K. was another gifting bright spot with year-over-year growth in GMS. Etsy Marketplace active buyer metrics remained muted during the quarter, with continued strength in buyer reactivation and year-over-year declines in all other metrics. GMS per buyer, now at $120, declined 3.5% year-over-year, similar to the trend in recent quarters. Frequency continues to be the driver of the decline in GMS per buyer as well as a target of our product and marketing initiatives. We generated $35 million of free cash flow in the quarter as seasonally higher fourth quarter payables led to greater first quarter cash outflows. For the trailing 12-month period, our free cash flow was a very healthy $685 million. During the first quarter we allocated $189 million to repurchase of Etsy's shares. With nearly $1 billion in cash at the end of the period and expecting continued strong free cash flow generation, we believe we have the financial flexibility to continue to share repurchases to manage our debt balance and make ongoing investments in the business. Before I move to our outlook, we thought it would be helpful to provide additional context on Etsy's marketplace trade lanes and how tariffs may impact our business. At present, Etsy's direct tariff exposure appears to be relatively low given that just over 1% of GMS comes from U.S. imports of items purchased from sellers in China, and our sellers tell us they primarily source their supply locally. In fact, the majority of Etsy Marketplace GMS comes from local within country commerce, and we saw the benefit of this advantage during the pandemic and supply chain bottlenecks that impacted international trade a few years ago. The current trade search situation is highly fluid, and it's challenging to confidently predict when and where specific tariffs will go into effect or how those tariffs may impact demand more broadly. Additionally, potential changes to the de minimis exceptions could be important given that the substantial majority of our GMS comes from items priced under the $800 exemption threshold. Currently, there's no formal process to collect and remit tariffs for these items, and it's unclear how long it might take the United States government to establish such a process or how that might ultimately influence U.S. consumers’ willingness to purchase goods impacted by the change. Against that backdrop, the good news is that we believe there is inherent strength and diversity provided by the Etsy Marketplace's global seller base and robust trade lanes. In fact, within our top categories, there are active listings from sellers in over 100 countries and as Josh mentioned, we've historically seen a very high replacement factor come into play when one country or region is impacted. As this pie chart shows, about half of GMS comes from U.S. Buyers purchasing from U.S. Sellers or strictly domestic GMS. About a quarter or so of our GMS comes from buyers in the U.S. purchasing from sellers outside the U.S. or from U.S. sellers shipping items to buyers outside the United States. Imports into the U.S. represent the vast majority of this slice of the pie and within that no single country's U.S. import GMS comprises more than 4% of total Etsy Marketplace GMS with a very high level of country diversity. The remaining quarter or so of GMS comes from transactions in which both the buyer and the seller are based internationally. Note that specific tariffs are not really in play for Depop given a very small percentage of GMS coming from U.S. cross border trade. There are quite a few unknowns for how tariffs may influence our business beyond the trade lane implications and whether the de minimis exemption will be removed beyond China. These include competitive pricing, impacts to peer supply chains and other competitor factors, some of which could prove to be tailwinds for us. That said, a key consideration is the degree to which higher tariffs may impact consumer demand, impacting overall expenditures and discretionary wallet share. Turning to our outlook, note that it does not include the impact of the Reverb transaction which we expect will close in coming months. This guidance assumes macro conditions which have been challenging for us for a while, remain roughly consistent for the remainder of the quarter. Starting with GMS, we currently anticipate that second quarter consolidated GMS will decline at a rate similar to, to potentially slightly better than the year-over-year percentage decline experienced in the first quarter. We continue to be encouraged that the product and marketing strategies we have been pursuing and which are showing the progress described today can drive improved Etsy Marketplace GMS as we move through 2025 and beyond. We expect that Q2 2025 consolidated take rate will be similar to that of the first quarter and that consolidated adjusted EBITDA margin will be approximately 25% for Q2, reflecting higher year-over-year marketing spend as well as higher year-over-year people costs associated with annual compensation increases and hiring. We take comfort in the inherent strength, resilience and diversity of Etsy's business and we intend to remain nimble in the event that conditions change materially. Thank you all for your time today. I'll now turn the call over to the operator for Question-And-Answer-Session.
Operator: [Operator Instructions] Our first question will come from Shweta Khajuria with Wolfe Research. Shweta is joining us and will be with us in a moment.
Shweta Khajuria: Hello, can you hear me?
Operator: Hey Shweta. Yes, we can hear you.
Shweta Khajuria: Okay, thanks Josh and Lanny, I guess my question is on outlook. So first is on the full year outlook in the prior quarter, your outlook included. And Kruti, I'm sorry, your outlook included improving GMS trends through the year so could you please update your thoughts on that. And then second question is on the second quarter EBITDA margin guide. Is it fair to assume that you are now leaning in more on social media platforms with marketing spend and is that in any way driven by what you're seeing with APAC based advertisers? Perhaps pulling back and you're leaning into that opportunity? Thanks a lot.
Josh Silverman: Thanks Shweta. Sure. As we look at the course of this year, it's important to set the macroeconomic backdrop. The macroeconomic backdrop has been challenging for Etsy for a considerable period of time and our outlook right now anticipates that there's no major change, that things on the macro front stay relatively consistent with where they are today. Now, as we look across the course of this year, we've said previously and again today, we feel encouraged about our ability to improve growth over the course of the year. That's built on a few factors. First of all, the product and marketing work that we've been doing will stack and accumulate as we go through the year. So work that we're doing on the app and on the gifting experience and on personalization in our product, those benefits we're starting to see today, those will continue throughout the year. That gives us some encouragement. On the marketing side, improvements in social marketing performance, the repeat re engagement work that we're doing to bring back reactivating prior lapse fires, showing very good progress. We grew the number of reactivated buyers this this quarter by over 6 million and those typically have a much higher LTV in the next 12 months after we reactivate them. So those kind of pieces of progress are incorporated in our view for the full year. Now the macroeconomic environment could change and it's hard to call that at this point in time, but we're focusing on the things that we can control in our product, in our marketing and feel really good about their ability to contribute as we go throughout this year. On the second quarter margin target that we shared today, you're right, we will see some deleverage on the marketing line. Last year in the second quarter was kind of a low ebb in our marketing spending as a percentage of revenue. And so that makes a little bit of a tougher comp in the second quarter of 2025. And you asked specifically about paid social. We are making some really encouraging progress there. So we mentioned in our prepared remarks that a higher percentage of our performance marketing spend was in paid social. We think that's really encouraging in terms of meeting buyers where they are. We're learning how to use paid social better. We're also learning how to use the full funnel of paid social better. So not just bottom of the funnel, but how can mid funnel really help to power bottom of funnel? So we're encouraged by that. I think another piece of your question was is our leaning into paid social related to Temu and Shein pulling out of Google. So from what we understand, they've pulled out of the Google auction in April. We have actually not seen our CPC decrease in the month of April. And it's important to remember that actually Walmart and Amazon along with Target and eBay are the largest people we compete with for our PLA share. And so it's not just Temu and Shein and there's a lot of moving pieces to CPC, so it's sort of hard to parse any one factor. Nonetheless, we continue to develop better Martech to get more efficient and in particular, to learn how to leverage paid social better and we're really encouraged by that.
Operator: Our next question will come from Bryan Smilek with JPMorgan. Please unmute your video and audio and ask your question.
Bryan Smilek: Great, thanks for taking the questions. Really good to see the progress across the social, commerce initiatives this quarter, especially on the app. Just curious, what's next on the app product roadmap. You mentioned for Depop, right the app is 90% plus of GMS. So just curious where the app can go in your view as a percent of GMS over time. Thank you.
Josh Silverman: Yes, great. So first, our highest ever quarter of GMS to the app, 44.5%. We're continuing to see real penetration there. A lot of our efforts to drive people from mobile web to the app appear to be showing some progress. So we're really encouraged by that. I think there will always be a role for certainly the desktop because some people just want a larger format when they're looking at particularly like a piece of furniture or something that's maybe a bigger investment. Mobile web over time, we'd love to see mobile web become a much smaller share of the app become a much larger share, and we're really encouraged by that. And I would encourage folks on this call to pull out the app and try it. And I think what you will see it is a much better shopping experience today than it was even six months ago. And in particular, if you arrive on Etsy without having a very specific idea of what you want to buy for. We've been talking about being more browsable. There is a lot more browsable surface on Etsy where we are just showing you inspiration. In my opinion it's pretty cool, it's pretty fun and I would encourage you to try it. The next step for us is it's still the browsable experiences we're showing you are still largely one size fits all. They are here is really cool trends that you will see in the marketplace that most people find very interesting with very cool product in each of those trends that most people find very interesting, that's that all tutorial content that we talked about. The next step for us is to become highly personalized in that. So now how can we pick which are the trends that you are most likely to like and even within that which are the items within those trends that you're most likely to like even based on just the behavior you've exhibited in this same session. And most of that is work yet to come that we are highly focused on right now, and a lot of the work we're doing to create more browser, a lot of the idea there is to learn more about your tastes and preferences. As long as we're highly reliant on you giving us a very specific keyword, I'm looking for exactly this. We actually won't learn that much about you. So now we're creating a lot of these discovery surfaces that are giving us a lot more data about who you are that are going to enable us to take Etsy, this vast superstore of everything, and turn it into what feels like a boutique created just for you. That's what I want. That's what we want the app to become.
Operator: Our next question will come from the line of Nikhil Devnani with Bernstein. Please go ahead.
Nikhil Devnani: Hi there. Thank you for taking my question. Josh, if we look at active buyer trends for the core Etsy platform and the habitual buyers, the decline looks like it's been a bit sharper over the last couple of quarters and based on the guidance on GMS, sounds like that might be continuing into Q2 as well. It's coincided with a sharper decline in active sellers as well year-on-year. I know there have been efforts to clean up listings on the marketplace and in recent quarters. Is there any concern that this is driving a loss of conversion events and pressuring some of the network effects that you typically would want to see in a marketplace like this? Thank you.
Josh Silverman: I just want to clarify. Your question is do we have any concern that the decline in active sellers is related to or driving causing the decline in active buyers? Is that the question?
Nikhil Devnani: Yes.
Josh Silverman: The short answer is no. We do not have a concern that that's true. We think that the decline in active sellers is an intended consequence of us putting a $29 new shop setup fee. And just to give context, the number of new sellers coming onto the platform had been growing and growing and growing for quite some time. Many, many of those sellers did not have the skill or will to ever become successful sellers on Etsy. And yet they were taking up space for other sellers that did demonstrate the skill and will. So by putting some intended friction in the form of a $29 new shop setup fee, we are still letting the sellers that have the skill and will come through, but have done a lot of work to mitigate the number of sellers that weren't going to succeed. What we see is that the number of sellers succeeding in making a sale is substantially up. The retention of active sellers is up. So the sellers on the platform are much more likely to be succeeding, and we've created a playing field for them that I think is healthier and that is all intended. So we are very comfortable with the path we're on with, with, with active sellers. We want to make sure that we're serving the active sellers that have both the skill and the will to truly contribute to the platform. Active buyer decline, it's down about 3.4% this quarter. We believe that is due to macro, that people just have a little less money to spend. The good news is when we talk to our buyers, they love Etsy. So it's not that they've quit Etsy or churned from Etsy. They just haven't bought something in the last 365 days. And so we're working hard to make sure that we are leaning into the things that most differentiate Etsy. So it may not be the cheapest place to buy something, it may not be the place that ships the fastest, but we have things that are really compelling and really different from everyone else. And we want to make sure we lean into that. We want to make sure that we show Etsy's highly personalized. So we're showing you the things that you are most likely to love and we're doing that on the app and those are the things we think drive buyer love and buyer engagement over time. I'll conclude just by saying that while active buyers are down slightly this quarter and we are certainly disappointed by that and working with urgency to get that number up, they are still very near the all-time high that they were at the peak of the pandemic. So we more than doubled the number of active buyers at a time when people had really few if any alternatives and had to shop on Etsy. The vast majority of those people are still shopping on Etsy and have still shopped on Etsy even the last 365 days. Total active buyers is down I think 6% or 8% from our all time high during peak pandemic times. We're working now with focus, with urgency to give those people more opportunity to come back more often. So now we grow again from this base.
Nikhil Devnani: Can I just jump in with just a little knit if that's okay? The percentage of sellers who made a sale is up. Just want to clarify that. And then those new sellers, percentage of new sellers who are making a sale within the first 90 days is also up. I just want to clarify that.
Josh Silverman: Did you have something? I'm just going to say on the habitual buyer point, the vast majority of the habitual buyers are still buying frequently on Etsy. It's there's a threshold there of a number of transactions or a dollar value of transactions that somebody can go below. But like the numbers that you're seeing on habitual buyers I think are reflecting not them leaving Etsy, it's just this, this broader consumer dynamic around purchase. Consumer discretionary spending is being reflected in that number.
Deb Wasser: It's also stable as a percentage of GMS. It's about 42%. Okay, next question.
Operator: Our next question will come from Bernard McTernan with Needham. Please go ahead.
Bernard McTernan: Great. Good morning. Thanks for taking the question. Just wanted to touch on the take rate guidance for 2Q. It's flat sequentially. Normally we see sequential improvement throughout the year. So just any puts and takes you can provide there would be very helpful. Thank you.
Josh Silverman: As we look at the take rate over the course this year, we're lapping a couple dynamics that have helped us grow the take rate year-over-year. The listing, the introduction of the new seller fee is one of them and we've made some really strong progress on Etsy ads and its contribution to the take rate over the last year. That's reflecting work that we've done to improve relevance and improve our ability to utilize the budgets that sellers are telling us they're willing to spend to get that visibility on Etsy, and as we we've been able to do that while keeping the seller return on ad spend really consistent. And so as we look at the rest of this year, we've made some really good strides and our outlook is that we'll keep things pretty consistent across the rest this year, lapping a couple of those price related, service related increments that have been benefiting take rate over the last few quarters.
Operator: Our next question will come from Michael Morton with MoffettNathanson. Please unmute your video and audio and ask a question.
Michael Morton: Good morning. Thank you for the question. I wanted to follow up maybe Lanny on the gross margin headwind from free shipping and also you do talk about ML and search development. Just wondering if you can maybe quantify that. Probably it's our fault for not really listening to I guess last quarter when we got maybe a little overly excited on gross margins because of the way you talk about like the abundance of sellers bringing some of the potentially bad ones down. So anything you can quantify on some of the gross margin headwinds, maybe how big shipping could grow into being a gross margin headwind would be really helpful. Thank you.
Lanny Baker: Sure. As we look at the -- you're right. In this quarter, the gross margin year-to-year comparison, the two factors that created a little bit of deleverage there were higher processing costs, compute costs for search and for machine learning and we'll continue to lean into that over the course of this year. So there could be a little bit of deleverage from those search and machine learning costs over the course of the year. It's not dramatic but it's important to the product experience that we're delivering. On the loyalty front that was a similar increment to the cost of revenue this quarter similar to the impact from the search and machine learning that I just talked about. And we'll manage that program. It is in beta test right now. We're continuing to learn about retention, about its impact, which so far has been really encouraging on purchase frequency and helping us identify who our best customers are, how far we can go in servicing them and driving loyalty through that kind of a program. So we'll continue to manage that program over the course of year. It'll be a bit of a headwind for us over the course of the year. I don't expect that it will grow dramatically from where it is in this quarter.
Operator: And our next question will come from Ken Gawrelski with Wells Fargo. Please unmute your audio and video and ask a question.
Ken Gawrelski: Thank you. Good morning everyone. Appreciate it. First, I want to thank you for all the data on the cross border side, maybe correcting some of our information there. So I appreciate that. Deb.
Deb Wasser: Got you, Ken.
Ken Gawrelski: Two quick questions please. First, I hear everything you're saying and it seems like as prices start to rise, certainly imports into the U.S. across the board, you seem well positioned. I guess, how do I juxtapose that with your constant currency GMS guide for 2Q showing some moderation. Right. Some further decline relative to 1Q. That's question one. And the second one is more medium term is as you think about driving more buyer frequency. Greater buyer frequency. Could you just talk about, the kind of path to get to there from a lot of the engagement efforts you have now may have some depressing effects or impacts on conversion in the short term. Could you just talk us through maybe, Josh, we should think about the path throughout the year?
Josh Silverman: Sure. As we think about the trade lanes, U.S. Imports in the United States have held up really well and been fairly strong through the first part of this year. We've seen greater softness in our international markets. And I think that's local macroeconomic conditions in those international markets is softer for sure than in the United States right now. So that's reflected in our second quarter. A little bit softer just international-to-international trade lanes than in the United States. More so that than a tariff related cross border dynamic. One more thing I'll say about the second quarter is just the comp versus last year is tough because of holiday date shifts. So flat is actually slightly up. If you think about the date shifts. If we were to stay flat Q1 to Q2, it would still be actually really slightly up. If you think about the date shift, Easter being a big dynamic there, a little bit shorter shopping period into the Mother's Day this year than last year. And that creates a bit of a headwind in the second quarter relative to the first quarter and the tailwind from last year. So, yes, to the question about how to think about how this stuff stacks through the year, the second part of your question, there's really three things we're super focused on. Making sure that we have the very best quality items that we are surfacing. The ones that most differentiate Etsy and are most likely to delight you. Making sure we do it in a super personalized way, so it's the ones that you love, not just the ones that generally people would love. And third, we do it in the app. So we own your attention and have a more direct relationship with you, and we did a lot of work towards the end of last year to lay some important infrastructure for that. So we had to rebuild our search engine in a way that had a quality score. Now we have that quality score. Now we're just making that quality score a lot better. We're doing things to really leverage that quality score. We needed to free up a lot of screen real estate that we could use for these more browsable surfaces. And we're putting friction in the mobile web to drive you to the app. These are all investments that we think are terrific investments that will pay off in spades in the medium term, but might have some near term headwinds. The good news is we did a lot of that work towards the end of last year and we continue to do some of it now, but we've laid a lot of that infrastructure. And so now the opportunity is, how do we make that quality score a lot richer and a lot more robust? How do we let our sellers know what actions they can take in order to boost their quality score? So this quarter we made the quality score more robust with more elements to it, and we made it not a binary score, but a dynamic sliding score. And we've already seen the percentage of purchases with low reviews go down significantly as a result of that. And we've added more feedback to sellers on what are the top actions they can take to move their quality score, so we're starting to really figure out ways to leverage that quality score. We talked about some of the new browsable surfaces, particularly in the app, and again, I would encourage you to go try it. I think it's pretty cool. I really do think it's pretty cool, but there's still things that are one size fits all cool. And now we're gathering more data to start to be able to personalize those and we're starting to see some real traction in terms of being able to drive more people to the app. So yes, there will continue to be trade-offs and there will be continue to be some things we do that create some headwinds, not just tailwinds, but a lot of the work we have now is how do we now optimize these brand new things we've just launched and use them in order to drive growth and I'm encouraged that I think we're going to see more progress on that front.
Operator: Our next question will come from Deepak Mathivanan with Cantor Fitzgerald. Please go ahead.
Deepak Mathivanan: Great. Can you guys hear me?
Josh Silverman: Yes.
Deepak Mathivanan: Great. Hey Josh, thanks. Thanks for taking the questions. So two questions from me. First, as pricing increases due to tariffs and perhaps some supply chain challenges come up in potentially other retail platforms and e-commerce marketplaces, kind of do you see opportunities to leverage the Made in USA and maybe even pricing competitiveness under the new World on Etsy platform to perhaps create more awareness top of the funnel traffic and maybe build on new user base? Can you talk a little bit about how you're thinking about the opportunities there? And then Lanny, second one, can you quickly give us an update on perhaps Etsy's current category mix so that we can get some good color on your potential exposure to what pockets of discretionary spending Etsy has exposure to? Thank you very much.
Josh Silverman: Sure. Thanks for the questions. So on the first one, we can and are leaning into the opportunity that Etsy's relative value may get better, particularly against sites who have a lot of their products sold and made in China. Those prices may go up a lot and Etsy's relative value proposition could get significantly better in that case. So we already today have launched on Etsy the opportunity to buy domestically. So filters for domestic only feature highlights of sellers that are domestic sellers, easy browse pass and we're working on all kinds of different ways how do we make the UI make it very easy for people to shop locally? And I want to point out not just in the U.S. where of course that matters, but in Canada there's a lot of focus on that right now and in various markets in Europe there's a lot of focus on that right now. And guess what? We have a lot of sellers in Canada, we have a lot of sellers in the U.K., we have a lot of sellers in Germany. There's a number of markets outside of the U.S. where we also can offer people the opportunity to shop domestically. Certainly that's true in the U.S. where we have a really robust assortment. So we're not waiting. We're already working on promoting that opportunity. If the relative value -- we're still very early in terms of what's actually going to happen with these tariffs and what's, what is the relative pricing going to be, but there may be opportunities to lean in even more aggressively in marketing depending on how big the price differences are. So we're going to be, we're going to be paying incredibly close attention to this, as I'm sure you'd expect, and having a real bias to action around all of it. I do think we are much better positioned than many to be able to not have the kinds of price shocks that many other people will have. And the countervailing factor is if we see inflation, if we see a drop in consumer confidence, that's not good for Etsy. So it's really hard for us to know right now how those two things will balance out.
Lanny Baker: And from a category perspective, our mix hasn't changed from where it was last year. The top six categories remain our top categories. That includes home and living apparel, craft supplies. And when we look at the, when we look at those top categories in our top six categories and we compare our performance in the most recent 90 days to what our Pure Play competitors look like from third party data in some of our, in four of those six categories, we performed a little bit better. Now we're still down year-to-year. We're not satisfied with that, but we are pleased that things like the efforts we have on gifting and around personalization and the personalization not only of the product experience but also the personalization in some of the categories of the items that you can purchase on Etsy are advantages that are helping us outperform others in the marketplace. So the categories where we did a little bit better than what we would deem to be the competitive set include home and living. Our biggest category, jewelry, was another one that was quite strong, comparatively strong. Crafts, supplies, paper, and those kind of goods. So the mix overall hasn't changed. But I think our product work over top of that mix is giving us some relative performance.
Josh Silverman: Sorry, if I can pull up for just a sec. I just want to say we unfortunately are living in a world with more and more macro shocks, be they global pandemics or trade wars or actually kinetic wars. And through all of this, the Etsy marketplace has been remarkably resilient, and I think that is a real benefit of our model and something we care about a ton. And I hope investors are paying attention to and caring about as well.
Deb Wasser: The only thing I was going to add just there is a slide with the pie chart of our categories in the back of the deck. Next question?
Operator: Our next question will come from Ygal Arounian with Citi. Please unmute your audio and video and ask your question.
Ygal Arounian: Hey guys. Good morning. Two, may first just expanding on the macro stuff with the deminimus changes coming through in a few days here and how you think about the puts and takes. There should be some tailwinds, but I think there's some potential headwinds for you guys also. Just want to understand those. And then Josh, still really early. Maybe too early to ask this question, but just with the AI shopping experiences that you talked about with OpenAI and with Copilot, how do you see that, envision that changing e-commerce over the next few years? How does that change for Etsy? Maybe even things down to how that might potentially change Etsy ads, your marketing approach. Love to hear your thoughts on that.
Josh Silverman: Yes, great. I love it. Okay, on the first one, if the current state of play and it could be different by 3pm but the current state of play is that de minimis exemptions will remain at least for a while for every country except China. So in China they will remove the de minimis exemptions and they'll remain everywhere else. That's a best case scenario for Etsy. We have roughly 1% of product on Etsy is Americans buying from China. I want to point out those are vetted sellers that comply with our policies. There are some in China who actually really legitimate belong on Etsy. But if the prices there become unaffordable for that 1% of GMS, we think there'd be an extremely high replacement rate of buying from somewhere else. So we think we would not have any material impact from de minimis going away for China. That's not true of almost all of our competitors. They may see their prices go up a lot. That would be good for Etsy. At least the first order effect would be good for Etsy. Similarly, so far de minimis exemptions will remain at least for a time from Europe. And most of the U.S. imports are coming from European countries and Canada, so the maintenance of de minimis is helpful for us there. Should de minimis go away all around the world my concerns are actually more about the speed of parcel trade more than the price of parcel trade because it could create just very long backlogs to import any product from anywhere. And Americans are buying really cool product from Germans, from Brits, from Turkish people, from Ukrainians. And right now, hats off to the Ukrainian postal service. Those folks are incredible. In the midst of a war, most of our Ukrainian sellers are able to ship a package from Ukraine to the U.S. in seven days. And the prices are really good and the craftsmanship is really good. So I'd hate to see that take two weeks or three weeks, which, if you had to inspect those parcels, by the way, that's not economically rational to inspect a parcel that's only worth $50, that might owe $4 or $5 of tariff. It doesn't really make sense to inspect all of that. So we need data infrastructure that's going to allow for the ability to more seamlessly figure out how much is owed, who owes the money, etcetera, and building that data infrastructure I think will take some time. So hopefully if we are going to remove or modify de minimis, we do it in a way that allows for it to be efficient and us to use good data. On the second question, which is what happens in a world of agentic shopping? I think that's really good for Etsy because I hope what an agent would do, a smart agent, is it's going to go out and it's going to say here is the cheapest thing you want to buy this thing, here's the cheapest thing that can arrive the fastest, and here's an alternative that might be customized or personalized for you, that is more artisanal, that's going to be more unique. And in that world where I believe and hope agents are going to want to offer some level of choice, I think Etsy is very often going to be a meaningful choice. What those agents should discover is they can visit 20 sites and what they're actually finding is the exact same product made in the exact same factory and just fulfilled through one of 20 different supply chains, and then there's Etsy, where we actually have something different. And I hope the agents will help customers to understand that and that'll be good for us. I think it's interesting and encouraging that all of the large Gen AI providers are very interested in partnering with with Etsy. We have great access and great relationships, engineer to engineer with those companies. Several of them have featured Etsy in their keynote addresses recently. And I think that speaks to the fact that we have a really unique data set that is different and those companies are always thinking where is the unique pools of data? Etsy has a really unique set of data. We also have a really good engineering team and really competent engineering culture that's able to partner with those companies in a pretty sophisticated way. So we want to be on our front foot on all of this, and I think these evolutions over time can be very good for Etsy.
Deb Wasser: Operator, we're going to have to end it right there. We're just about at time and I don't want to take the next one we'll run over. So we're going to end it there. Thank you all so much.
Josh Silverman: Thank you all.